Vincent Rouget: Good morning, and a warm welcome to URW's Full Year 2025 results, my first as CEO. I'm going to take you through some key highlights and share some insights on our key priorities. Fabrice will cover our financials, and then we will both be available for questions. 2025 was another big year for URW with many achievements and a good start to our Platform for Growth business plan, including a 2025 AREPS guidance at EUR 9.58 per share. We are reporting a strong performance across our business plan priorities, attractive growth -- organic growth, disciplined capital allocation and substantial deleveraging. First, the key foundation is our strong retail operational performance. Footfall and tenant sales are up, leasing activity is strong and vacancy is down to a record low. We also made very important strategic inroads in preparing for a bright future through 2 capital-light initiatives, a new franchising business, an industry first in flagship retail globally and the acquisition of a 25% stake in St. James Quarter in Edinburgh. This demonstrates the significant growth potential of the Westfield ecosystem of performance with top mall owners. We also had successful deliveries with Westfield Hamburg-Uberseequartier and Westfield Cerny Most in Czech Republic. Second, on the capital allocation side, valuations are up and our LTV has significantly improved, helped by EUR 2.2 billion of disposals completed or secured since the start of 2025. We have delivered on our earnings and distribution commitments for 2025, thanks to all these great achievements and to the successful financing and hedging activity delivered by Fabrice and his teams. One more point. We will present in a few slides how we are preparing the future as a top innovator, thanks to the exciting possibilities data and AI offer us and our retail partners. I'm sincerely grateful to all our teams for their outstanding performance across our 4 regions in 2025, and I'm very excited to lead this great company. Our Platform for Growth business plan focuses on delivering growth from a dominant network of retail-anchored urban infrastructure assets. And you can see that clearly in our 2025 results. For me, they clearly reinforce our strong underlying fundamentals and showcase the strength and attractiveness of our unique business. Our EBITDA margin stands at 63%, a level very few businesses enjoy. And post disposals, we now have an attractive cash flow conversion rate in excess of 70%. With the completion of our noncore disposals program, our business now comprises a portfolio of irreplaceable destinations. The strengthening of our balance sheet with an LTV at its lowest level since 2017 means we are well on track to achieve our 40% 2028 LTV target. All this is great news as it gives us the strategic flexibility to unlock URW's embedded growth potential in line with our business plan. As I shared at the start, our business has once again demonstrated its attractivity and consistent compounding growth. We saw continued improvement in key operating metrics across all regions within our retail portfolio. Tenant sales continue to outperform sales indices and core inflation and vacancy is down a further 20 basis points to record low, driven by dynamic leasing activity. Zooming in on our key leasing metrics, we signed over EUR 400 million of MGR with an 11% uplift on long-term deals, consistent with 2024 activity. We made good progress in 2025, and we want to go even further with leasing being our #1 priority for me and our teams. In the Platform for Growth, we have a simple plan, which will drive growth through our established ecosystem of performance that combines unique assets, best-in-class retail operations expertise and the powerful Westfield brand. As a result, we see a clear opportunity to increase traffic, to keep driving tenant sales up with our partners, further enhance rental tension and retail tension and reduce vacancy and solidify our competitive advantage and capture market share. This is the key work that will drive like-for-like growth and unlock capital-light opportunities for our group. Now I want to spend a couple of minutes on why we outperformed our sector. It's pretty simple, and this is at the core of our competitive advantage. Flagship stores are an essential part of a retailer's brand expression and customer acquisition strategy. Traditionally, these stores were located in premium city center or high streets with high footfall. And today, they are increasingly a key component of the Westfield value proposition. We offer brands premium locations, incredible footfall and most importantly, a profitable growth platform. Our value proposition combines brand awareness with earned media value equal to 20% to 25% of annual occupancy costs at our centers and a cost-efficient customer acquisition channel, 80% lower than digital. For these reasons, our stores are big business for many tenants. Our top 20 fastest-growing brands achieved a plus 40% sales increase across our portfolio over only the 2 past years and generate an average of EUR 16 million of annual sales from each store. Here is another data point. Our 10 largest brands are grossing between EUR 100 million and EUR 900 million in annual sales volume across our portfolio. This is huge, and we're super excited to see which one will first reach the EUR 1 billion sales with us. Finally, I would add that this success also reflects the benefits of our highly curated destinations for customers. These are safe, secure, comfortable locations that offer a superior experience in real-life human connection. This being said, here is a thought-provoking comparison. We have taken key leasing data from Forum des Halles in Paris and compared it to our city's leading high streets, Avenue des Champs-Elysees. We are talking about roughly the same annual footfall levels around EUR 65 million, yet Forum des Halles has materially lower rents. Given our similar to higher sales densities, this means higher profits for retailers at our Westfield destination. You'll also notice that average store sizes are 4x larger on Champs-Elysees. Usually, in retail, the larger the store, the lower the rent per square meter. Interestingly here, the opposite is true with Champs-Elysees. And this is clearly the beauty and power of operating in the flagship locations business, where retailers are ready to pay a premium for brand awareness and visibility. OCR is much less part of the conversation. Obviously, you could argue that Champs-Elysees represents a different proposition for major brands. And I'm not saying that we will soon match these rental levels. However, we clearly offer a compelling value proposition that provides comparable traffic levels and attractive demographics while also delivering profitability for retailers. And it certainly gives us confidence about the true value of our offer and the upside potential we see on the very best flagship assets. And beyond this sales performance, as a single landlord compared to Forum des Halles multiple ownership, this means that we are in full control of tenant mix, customer journeys and visit store data. And this is where we can be a top innovator in the flagship retail segment. In 2025, we continue to see a strong lineup of new flagship openings. Bringing in new flagship concepts that are in demand by our customers is key to increasing the level of commercial tension at our locations. The U.S. offers, in particular, a deep reservoir of great brands like Skims, Vuori and others that are very open to the flagship opportunity we offer and look to Westfield as a natural partner to expand into Europe. A great example is premium activewear brand, Alo, which has 7 stores in our U.S. portfolio and just opened its first shopping center location at Westfield London. Early data is extremely positive, outperforming the brand's gross revenue targets by 80%. We also hear it is frequently outperforming their other flagship stores. In Europe, our newest flagship asset, Westfield Hamburg-Uberseequartier is also proving to be a major draw for big brand flagships such as Aesop, LEGO, [ Polo Ralph Lauren ] or Dyson. We have a huge opportunity in front of us, and I'm confident we can do more to attract exciting new concepts by better demonstrating our value proposition and its potential to brands, hence, our leasing, leasing, leasing priority for 2026. In the end, it's fairly simple. The higher the attractivity, the higher the demand, which results in more leasing tension and occupancy, which delivers a higher rental growth profile. We are also leading the way in data intelligence, thanks to years of investment in technology as well as our scale and the quality and size of our assets. We see it as another way to unlock the full potential of Westfield through AI. We partnered with digeiz to develop mapping algorithms to convert video footage into GDPR-compliant segmented data, harnessing the power of AI to analyze real customer visits and traffic patterns. We have now rolled out this technology across 21 Westfield shopping centers in Europe. And what is truly exciting is its massive potential as a performance tool in areas like asset management and leasing. We are unlocking new KPIs and data sets like capture rates, conversion rates or bounce rates today received or estimated in almost real time, i.e., not a month later, like tenant sales. These KPIs are making a real difference in decision-making and providing insights that were not possible with traditional metrics like rent per square meter and sales intensity. And this powerful data can allow a deeper evidence-based conversation with tenants to drive their performance at a shopping center and a portfolio level with URW. This understanding provides valuable insights and data intelligence that can unlock higher long-term growth, but also allows us to provide additional value-add services like Westfield Rise packages. On this slide, we have shared some anonymized data showing these new KPIs for a medium-sized fashion tenant with stores at multiple locations. By comparing store performance at such a granular level, you start seeing how much richer conversations with retail partners can be. How can we help you improve capture rates at a given store? Do you know why this store has significant higher bounce rate than your others? Why is the conversion rate so low at store X versus usual standards? This is obviously a ton of new data to digest for our teams. And this is where AI technology will be of great support to start unlocking this full potential. To further illustrate this, we selected 3 other concrete examples of how data is already enabling active asset management and driving operating performance at URW. First, leasing. Thanks to new passing by and demographic data, we were able to demonstrate the true potential of an area that had been perceived as soft and a specific unit that had been vacant or only short-term let for several years at Westfield Forum des Halles. Traffic data helped us convince an existing tenant to upsize and relocate into the space and unlock the second opportunity within the same asset, i.e., allowing another tenant to expand as well into the free space to create a flagship store, which it had been looking for, for quite some time. Second, the retailer performance. We can now measure the real impact of introducing new concepts, not just on traffic in the immediate area, but also on visits to adjacent stores or brands in the same category. This gives us tangible evidence for rental discussions and powerful insights, leasing strategy in opportunity zones across the mall. And third, retail media. Data enables more precise audience targeting and far more effective brand campaigns. Across 11 recent Westfield Rise campaigns in our portfolio, we were able to measure a 16% increase in store visits for advertising retailers with an estimated 17% sales growth over the campaign months. Looking ahead, AI will allow us to go even further, generating smarter, automated campaign recommendations based on our custom data sets. Using this data, we will also be able to create digital simulations of our assets to further optimize our tenant mix and customer journey. And I can tell you, you simply don't get this on the best high streets. We are excited by the potential and one of our key priorities for 2026 is to scale use cases and turn them into a driver of shared performance with retailers. With this, data and AI-led physical retail truly becomes the future of commerce. Moving now to disposals, which have been key to streamlining and simplifying our business and the continued strengthening of our balance sheet. Despite tough market conditions, we were very active in 2025 and have now completed or secured EUR 2.2 billion of disposals. I remember vividly the many questions received at our Investor Day last year about the feasibility of a disposal plan, well within and at pricing levels in line with book values. This now means a strategic shift to a capital recycling mode to fund any additional investment and development activities going forward that can contribute to our organic growth profile in a disciplined way. Speaking of capital-light growth, it will be an important tool for creating long-term value for our group. We established very important foundations in 2025. First, our acquisition of a 25% stake in St. James Quarter, an 81,000 square meter flagship shopping center in Edinburgh and 1 of only 4 A++ assets in the U.K. As you could guess, Westfield London and Westfield Stratford City are 2 of the other 3. This transaction demonstrates our ability to strengthen our presence in an existing market and expand the Westfield platform in a way that is consistent with our capital-light strategy. Our ecosystem of performance, including the Westfield brand was key to majority owner APG, actively seeking us out, creating an opportunity to improve the future performance of the asset and generate management fees for the group. Second, a new franchising business is generating fees as well, while allowing us to reach new markets and customers with no capital deployment. This is a first in the world in flagship retail, and we are very proud of this achievement. In December, a 58,000 square meter mall in Saudi Arabia's third largest city became Westfield Dammam and the first asset to be rebranded. Based on early feedback, the rebranding has already driven stronger-than-expected footfall and increased commercial tension. In the coming year, 2 new flagship centers in Riyadh and Jeddah will open under the Westfield brand. A key focus for URW this year will be to demonstrate the substantial added value we can bring to owners of flagship assets in new markets. Let's now spend a few minutes on our developments. We delivered projects that totaled EUR 1.8 billion of total investment cost, including 3 key retail projects, all at high leasing levels. In November, Westfield Cerny Most became the 41st Westfield branded asset in our portfolio, and we opened its extension, bringing in 32 new shops and dining concepts. Westfield Hamburg-Uberseequartier has now crossed 10 million visits and as mentioned earlier, has proven to be the new destination for flagship retail for major brands and retailers in Hamburg. With completion of the IBIS hotel and remaining office works, our committed development pipeline drops to EUR 0.7 billion over H1 2026, down from EUR 3 billion a year ago. This significant progress means our development focus can now shift to disciplined capital allocation and capital-light growth outlined in our Platform for Growth business plan. Moving to sustainability next and a Better Places road map, which is a core strategic driver for the group and a key to our long-term competitive advantage. In 2025, URW achieved significant progress and was recognized again among the top 100 most sustainable companies worldwide by Corporate Knights and Time Magazine. Other highlights include our Le Louvre au Centre partnership, bringing iconic Louvre artwork reproductions into 6 mold -- 6 French molds to expand cultural access and reconnect communities with a shared heritage. URW is fully on track to achieve its Better Places targets, and we will publish more information on our 2025 performance in our URD in March. At the end of the day, with a portfolio of EUR 49 billion and an annual footfall in excess of EUR 900 million, we have a substantial impact in our communities and an increasingly meaningful role to play in today's society. We are in a position to deliver at scale and on our purpose to reinvent being together. In addition to leasing and innovation, our third core priority for 2026 is the continued simplification of our business. We've already made significant progress in 2025, including our organizational shift to 4 regions, the disposals of noncore businesses and 21 noncore assets and administrative changes like delisting Australian CDIs. In addition, we are preparing to destaple URW shares. This would be tax neutral and have no change to economic exposure, and we plan to propose this to shareholders at this year's AGM. We will continue to reduce the number of group subsidiaries, and Fabrice will cover the further decrease in our net admin expenses in 2025. In 2026, we will remain very focused on driving down costs while developing a culture of simplicity and agility for all teams at all levels in all regions and for everything we do. This is key to freeing up internal resources so that we can allocate a valuable time to generate growth, push our advantage in data and AI and drive impact. Before I hand over to Fabrice, I am happy to welcome Kathleen Verelst, who joined our Management Board as Chief Investment Officer at the start of the year. She brings a deep real estate experience and relationships and will lead a disciplined capital allocation approach. Kathleen joins Anne-Sophie, Fabrice, Sylvain and I, and we are altogether tremendously excited to lead the group in this next chapter. In May, we presented our Platform for Growth business plan, which was well received by the market. The whole Management Board is focused on delivering the plan and achieving those targets. We've already made significant progress with LTV down 355 basis points on a pro forma basis and generated underlying average growth of more than 5%. And we have very clear priorities for 2026, leasing, leasing and once again leasing. Innovation, including leveraging the Westfield brand and our data and AI capabilities and continued simplification and development of an agile and entrepreneurial culture. I want to thank once again our teams across our business and regions for their significant commitment and focus. We have achieved attractive growth with lower cost, less CapEx and more innovation, and we are well positioned to continue this strong momentum in 2026. I will now hand over to Fabrice to share more detail on our results, and I will then return to cover 2026 guidance and answer questions.
Fabrice Mouchel: Thank you, Vincent, and good morning, everyone. In 2025, we once again saw a strong operating dynamic. Tenant sales increased plus 3.9% compared to 2024, supported by a footfall increase of plus 1.9%. Leasing activity was robust and vacancy fell further to 4.6%, the lowest level since 2017. We completed or secured EUR 2.2 billion of disposals in 2025 and in the year-to-date. And as a result, IFRS net debt, including hybrid is down to EUR 19.7 billion pro forma for secured disposals. This net debt reduction, together with the increase in valuations and in like-for-like EBITDA led to a further improvement of the group rate metrics. Let's look at our 2025 figures. AREPS stands at EUR 9.58 per share, down minus 2.7% on 2024, mainly as a result of the disposals completed in 2024 and 2025. Our AREPS figure also reflects the 3.25 million URW shares issued to CPPIB in December 2024 in exchange for an additional 39% stake in URW Germany. 2025 AREPS is consistent with guidance, taking into account the timing of disposals, strong underlying growth and lower financial costs. EBITDA growth was plus 3.6% on a like-for-like basis, mainly from higher shopping center NRI. Office NRI was down minus 34.7% due to disposals, partly offset by the full letting of Lightwell and the full delivery of the Coppermaker Square residential project. 2025 earnings growth also benefited from the reduction in both financial expenses and the hybrid coupon, which I will comment on later. Here, we provide a detailed bridge showing the AREPS evolution year-on-year. Disposals net of acquisitions had a minus EUR 0.57 impact on 2025 AREPS. 2025 AREPS was also down minus EUR 0.19 year-on-year due to the contribution of the Paris Olympics to C&E activity in 2024. Rebates for disposals, net of savings in financial expenses, the Olympics and the impact of the CPPIB deal. We have delivered underlying AREPS growth of 5.4%. And this is in line with the underlying growth rate of at least 5% in our guidance for 2025. Retail NRI growth contributed plus EUR 0.51, thanks to our positive operating performance and recent deliveries. This performance was partly offset by minus EUR 0.07 from offices as well as the usual C&E seasonality effect between even and odd years. Financial expenses had a positive contribution of EUR 0.04, thanks to proactive refinancing and FX hedging. And we also saw a positive impact of plus EUR 0.13 from the hybrid liability management exercises completed in April and September. The other category reflects the negative FX impact on EBITDA before hedging as well as minority interest. So let's look more closely at URW's retail performance on a like-for-like basis. NRI was up 3.8% like-for-like, made up of plus 3.5% for Europe and plus 5% for U.S. flagship assets. Indexation made a plus 1.4% contribution at group level, reflecting a plus 1.7% increase in Europe. Leasing activity and sales base rents in Europe made a total contribution of plus 1.2% on top of indexation. Our U.S. flagship NRI growth was supported by leasing activity and higher sales days rents, representing growth of plus 5.4%. And the other category contributed plus 0.4%, thanks to variable income, including Westfield Rise and parking as well as lower service charges in Central Europe. It was slightly down in the U.S. due to a few bankruptcies. Moving to vacancy now, which stands at 4.6% at group level. This corresponds to a minus 20 basis points decrease from last year, thanks to strong leasing activity. In particular, vacancy decreased in Q4 with EUR 125 million in MGR signed, corresponding to around 30% of total leasing activity for the year. Vacancy in Europe was 3.3% compared to 3.6% in December 2024, thanks to a noticeable reduction in Northern Europe, which dropped from 5.5% to 4.8% with a further decrease in U.K. vacancy. Vacancy remained low in Southern Europe and Central Europe at 3.1% and 2.2%, respectively. U.S. Flagships vacancy was 6.3%, in line with December 2024, up slightly, reflecting the impact of bankruptcies in Q3. And despite this, U.S. flagship delivered like-for-like growth of 5% in 2025. Leasing activity remains strong in 2025 with EUR 423 million of MGR signed. Total MGR is slightly down on last year due to lower vacancy and lower bankruptcies to address as well as the FX impact. Rental uplift continued to be healthy, standing at plus 6.7% on top of indexation, combining a 5.4% uplift in Europe and a plus 9.4% uplift in the U.S., and this is in line with the 6.5% uplift that we achieved in 2024. 2025 performance was supported by an 11.3% uplift on long-term deals, including plus 6.6% in Europe and plus 23.8% in the U.S. It also benefited from a higher proportion of long-term deals at 82%. And the uplift in the U.S. was driven by the introduction of new food, luxury, automotive and fashion brands replacing nonperforming tenants. Rents per square meter signed in 2025 stood at EUR 659 per square meter in Europe and $80 per square foot in the U.S. This was an increase of 17.8% and 17.4%, respectively, compared to rents signed in 2024. Moving now to occupancy cost ratio, which stands at 15.7% in Europe, slightly above its 2024 level of 15.6%. In the U.S., OCR for flagship assets decreased from 12.6% in 2024 to 12.2% as at December 2025. And as we have demonstrated previously, the volume of activity generated by omnichannel retailers through in-store initiatives as well as brand and marketing value as highlighted by Vincent, goes well beyond the sales figure used to compute the OCR. NOI for our C&A activities stood at EUR 160 million, a 27% decrease compared to last year, reflecting the positive effect of the Paris Olympics on 2024 and the usual seasonality between even and odd years. On a like-for-like basis, i.e., excluding triennial shows, the Olympics and scope changes, NOI was minus 0.9% compared to 2024 and plus 31% above 2023, the last comparable year. This was thanks to lower energy costs and the full recovery of this activity. Bookings and prebookings stand at 93% of the expected rental revenues planned for 2026, demonstrating the appeal of URW's convention and exhibition venues. Our 2025 performance was also supported by a minus 4.6% decrease in our general expenses as part of wider cost-saving initiatives. And this is on top of the minus 10% decrease achieved in full year 2024. General expenses as a percentage of NRI have now decreased from 10.1% in 2022 to 8% in 2025, reflecting both the improvement in our operating performance and the efficiency gains that we've achieved on top of the effect of disposals. These gains include the positive effect of the simplification of the organization into 4 regions as well as stringent procurement and ongoing process automation. Moving now to the evolution of our gross market value. The group GMV at December 2025 amounted to EUR 48.9 billion, a minus 1.6% decrease compared to last year. This is mainly due to the EUR 1.5 billion in disposals achieved in 2025, partly compensated by CapEx of EUR 1.1 billion spent over the period. GMV was also impacted by a minus EUR 1.2 billion FX impact from the weakening of the U.S. dollar and sterling versus euro. Net of investment, disposals and FX, portfolio valuations were up EUR 836 million, corresponding to a plus 1.7% increase. This is the first positive revaluation of the portfolio, excluding FX, investment and disposals since 2018, and it is above the 1% annual growth we referred to at our Investor Day. Net reinstatement value stood at EUR 143.8 per share at the end of 2025, in line with year-end 2024. This includes an AREPS contribution of EUR 9.58 per share and the EUR 3.50 distribution paid in May. NAV saw a positive asset revaluation contribution of plus EUR 3.85 per share at group share. This was partly offset by a negative FX impact of minus EUR 5.18 from U.S. and U.K. assets, net of liabilities and minus EUR 1.49 on the mark-to-market of debt, hybrid and financial instruments. It also takes into account an increase in the fully diluted number of shares. Moving to shopping center portfolio valuations next. Like-for-like retail valuation was up 1.9% in 2025, driven by a positive rent impact of plus 1.6% and plus 0.4% from yield impact. This positive rent impact reflects the strong operating performance achieved in both Europe and in the U.S. in 2025. Overall, a yield impact, which had been negative in previous years was slightly positive in 2025, thanks to Europe. And this comes from an overall minus 10 basis points reduction on the discount rate, while exit cap rates remain unchanged. Like-for-like valuations were up plus 2.3% in Europe, slightly above the 2024 revaluation at plus 1.6%. Valuations were up in the U.S. for the first time since the Westfield acquisition at plus 0.7% and the GMV increase for U.S. Flagship assets was plus 1.6%, fully coming from a rent impact. The net initial yield for European assets as at December 2025 stands at 5.3%, i.e., 10 basis points below 2024 level, while potential yield was stable at 5.7%. The NRI growth assumed by appraisers for the European portfolio stands at 3.5%, including a plus 1.8% assumption on indexation. The net initial yield for U.S. flagship assets stands at 5.2%, plus 10 basis points above its 2024 level and 40 basis points above its 2023 level. The stabilized yield for U.S. Flagship assets based on assumed rental increase in year 3 stands unchanged at 5.7%. And these yields are consistent with recent transaction on A++ assets in the U.S. like NorthPark Center in Dallas sold at 5.3%. These yields also reflect the potential growth embedded in our U.S. assets. And the NRI growth assumed by appraisers for the U.S. Flagship assets stands at 3.8%, and this is based on cash flow growth, including the contractual rents and CAM escalation of 3% on average. This means that more than 3/4 of the growth assumed by appraisers comes from current leases in place, assuming the extension with no capture of rental uplift nor vacancy reduction. Moving now to development. The key event in 2025 was the successful delivery of the retail component of Westfield Hamburg as well as the handover of the first office to Shell. Following these deliveries, the total investment cost of our committed pipeline decreased from EUR 3 billion to EUR 1.2 billion between 2024 and 2025. Works on the IBIS Hotel and the remaining offices in Hamburg are due to be completed in H1 2026. And when handed over to tenants, this will reduce the total investment cost of our pipeline by a further EUR 0.5 billion, leaving just EUR 0.7 billion in committed projects. The controlled pipeline amounts to EUR 1 billion at 100%, in line with last year. And any decision to launch controlled pipeline projects will be fully consistent with the capital allocation policy presented at our Investor Day. Net debt has further reduced in 2025 from EUR 21.9 billion to EUR 20.3 billion on an IFRS basis, including hybrid. This results from the EUR 1.6 billion disposals completed in 2025, which has a positive impact of over 200 basis points on the LTV. The retained profit, net of distribution and others also contributed to the LTV reduction for a net impact of circa 120 basis points, and this was partly offset by the EUR 1 billion of investment spend in 2025. Net debt decreased by EUR 0.4 billion as a result of the weakening of the sterling and the U.S. dollar, which also impacted the GMV as we saw earlier, leading to an overall negative impact of circa minus 20 basis points from FX on the LTV. And last, portfolio valuation had a positive impact of circa 90 basis points on our LTV. In total, IFRS LTV, including hybrid, stood at 42.8%, down from 44 -- from 45.5% at year-end 2024, a 270 basis points decrease. The group has also secured an additional EUR 0.5 billion of disposals. And taking into account these disposals, the IFRS net debt, including hybrid would stand at EUR 19.7 billion on a pro forma basis. And as a consequence, the LTV would decrease further to 42%. The IFRS net debt over EBITDA ratio, including hybrid, further improved to 9.1x in 2025, down from 9.5x in 2024. This is consistent with the trajectory presented at our Investor Day and the 9x level anticipated in 2026. This results from the net debt reduction of EUR 1.6 billion achieved in 2025. It also reflects an EBITDA decrease of minus 2.9% due to disposals and the 2024 Olympics impact and a plus 3.6% EBITDA increase on a like-for-like basis. This ratio does not take into account the further EUR 0.5 billion of disposals secured or the full year NRI impact from projects delivered in 2025 and to be delivered in 2026. The cost of debt for 2025 amounted to 2.1%, slightly above the 2% in full year 2024. This includes the benefit of refinancings completed in particular in the U.S. and the hedges put in place in 2025 to cover rates and FX. This was partly mitigated by the maturity of low coupon debt in 2025, a lower cash amount and decreasing cash remuneration. Going forward, the cost of debt is expected to be aligned with the trajectory presented during the Investor Day of a 20 to 30 basis points increase per year. So let's look at those refinancings in more detail. The group has successfully executed major financing transactions in 2025, illustrating its access to funding at attractive conditions and its ability to seize market opportunities. We fully refinanced our hybrid stack in April and September 2025. The new hybrids issued have an average coupon of 4.8%, while the group reimbursed its 2028 hybrid with a coupon of 7.25%. Through these transactions, the group has generated savings of around 55 basis points on its hybrid coupon, representing a positive contribution of plus EUR 18.6 million to its 2025 AREPS. The group's hybrid portfolio stands at EUR 1.8 billion at the end of 2025 and will decrease to EUR 1.5 billion by April 2026 with the repayment of the remaining EUR 226 million hybrid. We also refinanced $1.2 billion of commercial mortgage-backed securities, managing to both extend the maturity and secure improved conditions with an average coupon of 5.3%. This corresponds to a saving of around 190 basis points compared to conditions previously in place. And this included the refinancing of $925 million for Century City, which was the tightest spread for a AAA tranche over the 2020, 2025 period and the tightest CMBS coupon for a single asset in the past 5 years. And last, the group renewed and extended its credit facilities. And thanks to this activity, our average debt maturity was unchanged at 7 years. Finally, the group's IFRS cash position decreased from EUR 5.3 billion to EUR 2.7 billion during 2025. This results from the use of available cash to repay EUR 3 billion of maturing debt. This also included proactive repayment of EUR 600 million of bonds at a 2.5% coupon maturing in June 2026 and EUR 150 million loans at 4.2% maturing in 2027. We also proceeded with the discounted repayment of Wheaton and the debt on Wheaton, generating a $30 million net debt reduction. And this is consistent with the group's approach to reducing its cash position as remuneration conditions deteriorated with a decrease in central bank's rates and as we made a significant progress in our deleveraging program. And as the group's cash position decreased, we reaccessed the commercial paper markets in Europe and in the U.S. to benefit from decreasing short rates. And these programs are backed by undrawn credit facilities standing at EUR 8.7 billion at the end of the year. And the group's strong liquidity position gives us the full flexibility to access debt markets as and when we see fit. In total, we have secured the EUR 2.2 billion of disposals announced during the Investor Day. We have shown a strong operating performance in 2025. Our credit metrics improved on the back of the group's net debt reduction, like-for-like EBITDA growth and a 1.7% increase in asset values. We have also demonstrated our strong access to funding through the CMBS and hybrid issuances completed in 2025. In view of these achievements and as already disclosed, we intend to propose a distribution of EUR 4.50 per share for fiscal year 2025. This corresponds to an increase of circa 30% compared to 2024 and a payout ratio of 47%, which we intend to increase to 60% for fiscal year 2026. And as in 2024, this distribution will be paid out of premium. With that, let me hand back to Vincent for some closing remarks.
Vincent Rouget: Thank you, Fabrice. Solid performance. Let's now look at our guidance for 2026. At our Investor Day, we provided AREPS guidance of at least EUR 9.15, reflecting the mechanical effect of disposals. We are now increasing the range of full year 2026 AREPS guidance to between EUR 9.15 and EUR 9.30. This represents another year of underlying growth of at least 5%, supported by our solid retail operating performance. No major deterioration of the macroeconomic and geopolitical environment is built into this guidance. Finally, in line with our commitment to increase shareholder distributions, we intend to propose a payout of EUR 5.50 per share for fiscal year 2026 to be paid '27, consistent with our confidence in the group's outlook. This represents a payout ratio of circa 60% and a 22% increase versus 2025. Before we move to Q&A, I would like to share why I'm excited to lead this amazing business and confident we will deliver sustainable long-term growth. We have an unmatched and irreplaceable flagship portfolio located in the best cities and catchment areas in the U.S. and Europe, powered by our retail operations expertise and the iconic Westfield brand. Our assets, our expertise and our brand are an ecosystem of performance and a powerful competitive advantage. Looking more broadly beyond the real estate industry, we also have a sound, highly profitable and cash-generative business and are fully focused on unlocking our full potential through a platform for growth business plan and being the leading innovator in our industry. This will generate compelling shareholder returns and create value for all our stakeholders. With the depth of talent in this group and the plan we have in place, I have absolute confidence in our ability to deliver something truly incredible. And with that, let's start the Q&A.
Operator: [Operator Instructions] The first question is from Valerie Jacob of Bernstein.
Valerie Jacob Guezi: Congratulations on your results. So my first question is on capital allocation. You've now completed your disposal program. You've also sold some lands, which perhaps reflect less upside on development. So I just wanted to ask you what are now your key priorities in terms of capital allocation? And how shall we think about it?
Vincent Rouget: Thank you, Valerie. We're very happy to be at a point where we can now move towards capital recycling. That's another avenue of organic growth to some extent at a similar debt level that keeps on going down, that will fuel potential additional growth. This is a tool through the further disposal on the land bank part as we had shared during the Investor Day that we'll keep on working over the next few years. And that will be the main driver of our capital allocation strategy in a disciplined way. And as we expressed it and shared it during the Investor Day, we have a net CapEx investments, annual investments on average over '26, '27 and '28 that is set at EUR 600 million, and that will be the key yardstick for us for any future capital allocation decisions and new investments, which will be funded by disposals on the resource side. So -- and maybe the last point I will add is that we share the criteria upon which we will appreciate and analyze any new investments in the future as part of our Investor Day as well, and they remain fully in place in any new situations we may be looking at.
Valerie Jacob Guezi: And just in terms of geographies, are you completely agnostic or do you have some priorities?
Vincent Rouget: I think our teams are monitoring every opportunity that fits our overall highly qualitative positioning across the portfolio in our existing markets. So I think we remain alert to every opportunity in the market across different locations and geographies. And I would say -- beyond countries, I would say, urban areas to some extent because, as you know, we are more a city player than a country player, generally speaking, across our 24 markets. So this is where we like to build scale and to generate further competitive advantage in our positioning as well.
Valerie Jacob Guezi: And my second question is on your vacancy rate. I mean you've made some good progress over the past few years. Do you think you can improve the occupancy further? Or have we reached a floor and you're happy with what the portfolio is?
Vincent Rouget: I think before I hand over to Fabrice, maybe to comment on the vacancy, it's really at the core of our leasing, leasing, leasing #1 priority. So we intend to keep driving up occupancy across the portfolio and continue to increase the retail tension across the board. So that's definitely part of the plan. And it's really through this virtuous cycle of efforts of bringing in and attracting the very best concepts, which are sometimes not in shopping centers yet that will increase gradually the expansion that will reinforce our desirability vis-a-vis tenant partners and will drive upward as well the tenant sales, which is the long-term yardstick we are pursuing to ensure that we have durable and consistent long-term organic growth.
Fabrice Mouchel: Thank you, Valerie. So to come back to your question. First, we've been able to reduce significantly the vacancy in Q4. And as you would recall, the vacancy stood at 5.3% at the end of Q3. And we've been able to decrease it to 4.6%. And this was in particular on the back of strong leasing activity with EUR 125 million of MGR signed. So 30% of the total full-year leasing activity and with a higher focus on the letting of vacant units. Hence, as Vincent said the importance on the leasing, leasing side. Now to your question, there are still some areas where we see some improvement potential. One is the U.K. And even though there was an improvement in the vacancy rate in the U.K. from 5.8% to 5% at the end of 2025, we still see some possibility to reduce further the vacancy rate in the U.K. And the other one is obviously the U.S. at 6.3%. So historically, the structural vacancy in the U.S. was somewhat higher than in Europe but we feel that there's some room for improvement to reduce further the vacancy on our U.S. Flagship assets.
Operator: Next question is from Jonathan Kownator, Goldman Sachs.
Jonathan Kownator: The first question is going to be on brand media. I think you described a slightly shrinking market. You described weakness in luxury demand. Obviously, you have a lot more statistics also to offer to retailers at this stage. How are they seeing the market? Are you able to convince them that it's not just out-of-home market and that there is more potential, i.e., do you see any, I would say, a question on the growth path for that business, please?
Vincent Rouget: Yes, correct. We see a lot of potential in this activity. As you know, Jonathan, we expressed it during the Investor Day, and we see this business line as higher growing trend inside the overall portfolio. We see some -- there are several levers across this activity. Beyond the market situation and the market environment generally, we believe that we can increase the occupancy rates across our screens, generally speaking. And we believe that we have some substantial leeway as well on the rate card and the way we -- what we pay and charge -- what we charge for those screens. So we are still at the beginning of this activity, we believe and where we see some interesting potential as well is making the link with our core business further in the next few years. And that's really our second priority around data and AI because of the investments we've made to expand and to develop retail media franchise with Westfield Rise. Now we can use those substantial investments to improve on our core business. And it's really the link and the full connection of those various approaches and value-add services towards retailers to some extent that will crystallize the upside. The advertising market is softer right now that -- what we foresaw maybe a year ago. We still see some growth in our business and we fully believe in the upside we shared with investors during last year's Investor Day and the substantial growth trajectory we see on this line of business.
Jonathan Kownator: Just to continue on the -- so these luxury tenants, are they unhappy with the results of their campaigns? Or is it just broadly they reduce advertising? Or are they shifting it online? I mean, online is obviously 60% of the market, right? And so what are you seeing there?
Vincent Rouget: Look, I think luxury tenants are very happy with us because they've been generating a positive performance in sales, in footfall, generally speaking, across year 2025. It's one of the best-performing branches when we look at our overall portfolio with tenant sales, which are above what we reported at the group level of 3.9%. So from that standpoint, I think the business for luxury retailers with us is doing well. On the advertising market, again, we are seeing an increase in occupancy across our screens between '25 and '24 when we correct for the positive effect of the Olympic games in Paris. And so we don't have anything to report specifically around the luxury market and the lack of appetite for this new media.
Jonathan Kownator: Okay. Just one quick question, sorry, on your FX assumption for 2026. You said that you have a negative FX impact. Are you able to elaborate what assumptions you've taken for FX and at the same time, have you put hedges in place similar to what you had in 2025?
Fabrice Mouchel: So that's a very important topic and which effectively has a strong impact on the 2026 results compared to 2025. And just to give you some perspective, so basically, a, of course, we are hedged in 2026 to the same extent as we are hedged in 2025, but we are hedged at levels that are much higher in 2026 than they were in 2025 as a result of the evolution of the currency, in particular, the ongoing weakening of the dollar that we saw over the period. So all in all, we are fully hedged but the level at which we are hedged is closer to the current market levels that you see with an FX of around 1.8 between euro and dollar, whereas in 2025, we've been able to hedge ourselves at a level closer to 1.03. That was the level of FX that was prevailing at the beginning of 2025. So basically, in 2025, we had a positive impact from FX compared to 2024 when the FX rate was on average at 1.06. But in 2026, we'll see a negative impact on the FX coming from this evolution and the weakening of the U.S. dollar that we've seen over the period.
Vincent Rouget: Let me commend very strong performance of Fabrice and his treasury teams this year. Again, I think it's a well-known fact in the market, generally speaking, but obviously, the track record is very impressive and better than the trajectory we shared last year in terms of anticipation. So hats off.
Operator: Next question is from Pierre-Emmanuel Clouard, Jefferies.
Pierre-Emmanuel Clouard: Yes. Coming back on your capital allocation, what do you mean when you say that the objective in 2026 to capture market share in 2026. Is it -- are you willing to be a net buyer or net seller in 2026? And would you say that the convention and exhibition activities core business for you from a medium-term perspective?
Vincent Rouget: Yes. Pierre-Emmanuel, very simply by mentioning capturing market share. This is what we've been doing over the last few years and somewhat when you look at the evolution of a tenant sales versus national indices, we've been operating at a healthy spread over the years. And it's true that, I would say, leasing, leasing, leasing priority that will predominantly capture this. Obviously, when we co-invest in a capital-light way on the 25% stake in St. James Quarter in Edinburgh. It allows us to expand our portfolio as well in a very disciplined way on the balance sheet side and the net debt levels that we want to keep on reducing over time. So this is what we mean about capturing market share, generally speaking. It's not about acquisitions, substantial M&A or things like that. And I think we're very happy to have achieved a EUR 2.2 billion disposal program in advance to what we foresaw and announced to the market during our Investor Days or slightly in advance, I would say, because we had targeted early 2026. And it allows us to look with full flexibility at capital recycling opportunities if the attractive ones materialize for us, and it will need to be to the service of the growth profile of AREPS and obviously, it doesn't -- without affecting LTV reducing trend. So I think these are the core parameters for us in terms of capital allocation. I don't have an answer for you on the net buyer or net seller from that standpoint because we have completed a disposal program. So it will be managing the timings in case we were pursuing capital recycling because the opportunities are there. Lastly, on the convention and exhibition. This is a core activity. This is historic activity for the URW Group, we see some growth potential with the delivery of major infrastructure in the northern side of Paris for [indiscernible] site. And so -- and the activity is performing very well. You could see obviously, the great performance with the Olympic games last year. And we are on the right trend on this business. So there's no disposal plan whatsoever on this activity.
Pierre-Emmanuel Clouard: Okay. Understood. And a quick follow-up on your capital allocation strategy. The [ Balkany family ] Is selling a big Spanish portfolio, including La Vaguada, in Spain, and it has been reported by the press, you could have a look at this portfolio? So are you evaluating this process? And if so, would you angle be selective [indiscernible] stakes or full ownership?
Vincent Rouget: We as -- I mean, first, we never comment on specific situation, as you well know. So thank you for your question. And more generally, we are monitoring all situations across the market and across our different markets, as I mentioned previously. So we track them. We want to know where assets trade, whether the portfolio quality fits our ambition and our overall quality in the portfolio, and we do that with this opportunity as with others. I think in the end, the bottom line is we have a very clear trajectory. We intend to deliver on that. And it sets some parameters, which are pretty stringent in terms of capital allocation. So even though we look at everything to know the market and know our markets, I think the odds of something happening are pretty disciplined, I would say.
Pierre-Emmanuel Clouard: Okay. Understood. And a final question on your pipeline. So it would be interesting to have an update on your pipeline, specifically about the residential scheme next to Westfield White City in London and also Westfield Milan, is there any news here? And maybe a quick follow-up about the pre-letting ratio on offices in Hamburg that will be delivered this year.
Vincent Rouget: Yes. On the pre-leasing ratio, we stand at 82% on the overall office product across the Hamburg state in the Westfield, Hamburg-Uberseequartier, a state which is a very high rate and reflects the high quality and great location, this office product offers prospective tenants, and we keep on having positive discussions with prospects. With regards to your questions on the various developments, I think on all the examples you shared or you cited. We are investing in pre-devCapEx and expenses across our portfolio to bring our land investments to maturity. And this is what we apply across the board on our controlled pipeline and noncontrolled pipeline. And again, it will -- any decision to commit further capital to new developments and new densifications will have to fit within a baseline, the baseline we shared during the Investor Day of EUR 600 million net CapEx, so net of capital recycling. So that's the approach we're pursuing. We are working on a slightly marginal rezoning of the Westfield London residential quarter to improve the product and improve overall the project.
Operator: Next question is from Paul May, Barclays.
Paul May: Just a couple of quick questions for me. I wonder if you could give some color on the average yield on the EUR 2.2 billion of disposals, not obviously specific assets, but just so we can get a sense for modeling, particularly the remaining outstanding yield would be great. And then given all the activity, if you could provide a proportionately consolidated closing annualized rental income as at the year-end, that would be really helpful moving forward and say proportionately consolidated would be great. I think you gave the nonconsolidated version. And then do you want the second question now or should I ask that afterwards?
Fabrice Mouchel: So to your first question, Paul, on average, the yield at which we sold or secured the EUR 2.2 billion was between 6% and 7%. and I will be even more helpful than your question. So basically, just to give you an insight of the impact of disposals -- of the 2025 disposals on the 2026 AREPS. So basically, it's higher than the EUR 82 million of negative impact that we saw in 2025 for the 2024 and 2025 disposals. And out of the EUR 82 million, you had less than EUR 40 million that was coming from the 2025 disposals. So basically, based on that, you see what could be the total impact on the NRI side of the disposals secured or completed, the EUR 2.2 billion. What was the impact on 2025 and therefore, what would be the impact on the 2026 AREPs. Hope it helps. And if not, you can still call me.
Paul May: Perfect. Just following up with the second question is following on a previous question around the ramp-up of development, which I think you talked about in the medium-term outlook. I think various development schemes, especially your experience at Hamburg and recent retail experience would imply that retail development isn't really going to work in the current rate environment or the current return environment. And then if you look at offices, you've got obviously the structural issues and possible AI impact seemingly impacting offices at the moment. So that doesn't seem like a viable sort of decision to ramp up development there. So I was just wondering what is the thought process with that? Does it not make more sense to reduce your land exposure, try to sell what you can and rotate that into income-producing assets? Just thinking on that sort of capital allocation, what the thought process is?
Vincent Rouget: Yes, sure. I would say both on the offices side as well as on retail, but I'm sure it applies to other asset classes. It all starts with the product. And I think on offices, there's a lot of talk about the impact of AI. And at the same time, I read headlines everywhere that New York office market -- prime office market has been booming for 3 years now and has never been as good as it is right now. So it's really the quality of products. What we've shown very substantially and meaningfully on La Defense market, which has not been an easy market for a number of years and where we managed to deliver Trinity and fully leased Trinity after delivery, starting from 0% pre-letting at record rents and a massive premium versus every other restructured product delivered over the same period in La Defense. So it really starts with the product. It's the same for us in our view and strong conviction with [indiscernible] project, which is -- where construction is ongoing. And so it's really a question of location, market, but as well ability to create the right product. It also applies to retail. I leave aside the capital allocation side of Hamburg, but we see that Hamburg product is a tremendous success from a retail perspective. The retail partners are very happy about the performance. We already passed in less than a year, 10 million footfall. And so you see that when you create a great product, it creates its own attractivity. That being said, I think a lot of -- obviously, we're working on the land portfolio, as you suggest. And as we expressed it during the Investor Day, we shared, I believe, a figure of roughly EUR 1 billion on our balance sheet of land values back then. And we shared that we intended to sell or dispose around EUR 400 million over the duration of the plan. So between last year and the end of 2028 this objective remains true. And so that's what will enable us to keep investing in development or selling assets and more through a mixed-use angle and adding and densifying around our existing footprints, I would say, as a general trend. And then for the rest, it will be a matter of bringing in partners alongside us as well on the right product and projects in which we have strong conviction to enable the launch and the development of those. So I would say, in a disciplined capital allocation way in the end as we committed to early 2025.
Paul May: Yes, I do. I get that. It's just, as you said, putting aside the capital return point, which, obviously, for shareholders, we can't put aside the capital return point. So Hamburg is a great success in terms of it looks pretty and it's got lots of footfall, but I think yield on cost was in the 3s, and also you've lost a lot of money on that. So that would be, I suppose, a concern of shareholders is that real estate companies focus on the shiny final asset and not on the capital return point. I think we just want to get comfort that you're not going to just go off and develop a lot of trophy assets and not generate returns for shareholders. I think that's the concern people have. .
Vincent Rouget: Paul, you can have every comfort you wish to have on this, and that's the exact reason why we ascribe ourselves to a very stringent net CapEx spend of EUR 600 million per annum. I use this opportunity -- as we shared during the Investor Day, roughly EUR 300 million, give or take, is going to leasing -- ongoing leasing, maintenance and better places CapEx overall, which leaves EUR 300 million net of extra spending to go for developments or densification around our existing assets. So this is a very stringent trajectory from that standpoint. And I didn't mean the capital allocation side in that form for Hamburg. It's a real trauma, and this is an experience we learned from. And it was also at the source of the decision we made with GMV to drive a platform for growth business plan last year with such a disciplined capital allocation approach. We shared during this some pretty specific criteria in terms of the targets we will aim at in terms of underwriting of new projects as part of the Investor Day, and we absolutely stick to them. And that's exactly the approach we are pursuing. And lastly, when I look at our business overall across real estate asset classes, the EUR 600 million net CapEx accounts for roughly 25% to 30% of the EBITDA we generate on an annual basis of our NRI. This is one of the most compelling metric across asset class in the industry -- in the real estate industry. And that shows that it doesn't leave a ton of space to launch, as you call, new crown jewel developments in terms of development forward.
Operator: The next question is from Florent Laroche-Joubert, ODDO BHF.
Florent Laroche-Joubert: So 2 questions for me, if I may. So my first questions would be on the guidance for 2026. So we have been able to see in your presentations that you are working on improving your G&A expenses. In which way have you been able to -- have you taken into account some improvement today in your guidance for 2026?
Fabrice Mouchel: So thank you, Florent. So basically, this is incorporated, but this is not the main driver for the evolution and the AREPS in 2026. So basically, our guidance. First, we've discussed the 2 mechanical effects with Jonathan and Paul, which are, a, the disposal, which, as you see, as I've mentioned, will be significant and even above in terms of NRI loss compared to 2025. The second is the FX impact. But all in all, this is also driven by a positive evolution and particularly on the rents on a like-for-like basis even though the indexation would be lower in 2026 than it was in 2025. So -- but despite that, we expect to deliver strong like-for-like growth in line with what we've done last year, in line with the guidance that we gave during the Investor Day. And on top of that, we'll benefit from the ramp-up of the projects. And ultimately, there will be also the positive impact of the seasonality of the C&E activity with the even year that would also benefit from the 2026 year. So this is part of the growth that we expect or the evolution of the NRI of the AREPS that we expect in 2026 but that's not the main driver. The main driver continues to be the strong like-for-like growth, which is the priority that we have laid out during the Investor Day and the platform for growth.
Florent Laroche-Joubert: Yes. That's very interesting. And maybe my second question would be on your cash on hand that you have now at EUR 2.7 billion, so it's much more or less than 1 year ago. And also we have been able to see that you have been able to re-access to short-term debt. So what would be -- what can we expect now for you for 2026? And after maybe -- do you think that you would be able to have maybe a lower cost of debt than the ones you presented at the Capital Market Day? What -- how do you want to manage that now?
Fabrice Mouchel: So. So basically, first, in 2025, we've been able to achieve a cost debt of 2.1% which was only a 10 basis points increase compared to 2024. So below the 20 to 30 basis points increase in the cost of debt that we have mentioned during the Investor Day. And the main reason for that, again, is the FX hedging that we have put in place and that have been -- that we have -- that has allowed us to reduce our cost of debt for 2025. So basically, going forward, as we said, we stick to the guidance that we gave of an increase between 20 and 30 basis points in the cost of debt. And this already incorporates, by the way, the use of the commercial paper market. And it also incorporates some lower remuneration on the cash and the cash has reduced, and this was done on purpose. We've reduced it from 5.3% to 2.7%. So part of the cash was used to repay debt, maturing debt, but also proactively repaying debt maturing in '26 and '27, which had coupons above the cost -- the remuneration conditions of the cash. But all in all, the marginal conditions are higher than the average cost of debt. And therefore, there should be a 20% to 30% basis points increase year-on-year, even though as usual, we try to optimize it and the use of the CP market is one of the ways to achieve that. But it only makes sense to the extent that your cash position reduces enough. Otherwise, you would raise cash on the CP market, but you would have to replace it at conditions that would be slightly worse than the ones at which you would have raised this cash.
Operator: The next question is from Veronique Meertens, Kempen.
Veronique Meertens: For me, 2 questions around Asian disposals. So I was wondering, so you've now completed your disposal program, pro forma LTV of 42% and you reiterated your guidance of 40%. I was just wondering versus the plan that you presented in May last year, are you ahead or on track after the completion of the disposal program to reset 42% -- 40%? And then in line with that, how actively are you still pursuing disposals at the moment? Are there ongoing discussions at the moment? And how do you see that investment market at the moment?
Vincent Rouget: I would say on the fact that we reached EUR 2.2 billion disposals, we had planned to reach it slightly later. So from that standpoint, we are slightly ahead of the objective and what we foresaw last year, and we received a lot of questions during the Investor Day last year on -- to what extent we were confident we would be able to execute such a volume and quantum in a difficult market. So we're slightly ahead there. On the rest of the criteria, and I will leave -- I will let Fabrice elaborate on those. We are well into the plan. We are on track with the plan we disclosed and we shared with the market in May 2025, and we see a solid momentum in our business. And so I would say that's the general assessment and perception we have around our strong operations.
Fabrice Mouchel: So to come back to your question, I think the one point on which we are ahead compared to the assumption that we have given during the Investor Day is the evolution in valuation. So as you would recall, we said that the trajectory towards 40%, a, assumed that we would complete the EUR 2.2 billion of disposals, and this has been done. But it also assumed a 1% increase in values per year between '25 and '28, and we have achieved 1.7% in 2025, which is above the 1% level that we had referred to during the Investor Day. So this is where we are ahead of the plan compared to the LTV evolution, and this is already incorporated into the 42% of LTV level, which, as you would recall, compares to 41.7%, which was the level without any increase in values at the end of -- at the end of 2028.
Vincent Rouget: It' a good sign, and I will finish on also insisting on the fact that, that's the key reason why organic growth is our primary focus and the leasing, leasing, leasing priority there because with the ability to drive our business plan and to generate the kind of organic growth we shared during the Investor Day market, we see that rates have kind of landed now or reached a high on the cap rates. And to some extent, we start seeing the benefit with such an attractive organic growth on the valuation levels. So that gives us a lot of confidence. And this is really at the center of everything we do, driving this like-for-like performance for our own assets, but it's also the key that unlocks and makes extremely attractive to partner with us either through rebranding and management or co-investment in our existing markets, but also on the franchising business to expand into new markets where we are not present today. So this is really the core of the ecosystem of performance we set up in order to deliver a very attractive platform for growth.
Veronique Meertens: Okay. That's clear. And one follow-up on that because during the Investor Day, you had several ideas on future capital allocation and obviously, on a disciplined manner. But one of the things that you did mention was also share buybacks as one of the potential ways. When you're looking at -- if you say that now you're ahead on that sort of like 40% target, what is necessary to potentially trigger a share buyback? Or is it really just focusing now on interesting opportunities in the market?
Fabrice Mouchel: So share buyback is definitely part of our toolbox. Now there are a number of conditions that needs to be met before we use this tool. The first one is, as we said, that we need to sell more than the EUR 2.2 billion of assets. So basically, any use of capital would be only done to the extent that we sell more than the EUR 2.2 billion. So now we've reached EUR 2.2 billion. So we'll have to see what are the additional proceeds that we can generate from disposals. And the second topic is that out of the use of these proceeds coming from additional disposals on top of the EUR 2.2 billion, we have a variety of options to reallocate this capital, one being acquisitions. And as we have done, for instance, in Edinburgh with the acquisition of this 25% stake, which is on a prime asset, as Vincent has mentioned, with very attractive conditions with capacity also to develop the brand, capacity to generate some fees. And so basically, out of the various options that will be available to us, we will look into what can be done in terms of acquisition, what can be done in terms of share buyback. And again, looking at both the returns of each option and as well its impact on the financial ratios and the LTV and the net debt over EBITDA, the share buyback being, of course, more negative than acquisitions when it comes to the financial ratios.
Operator: The next question is from Neil Green, JPMorgan.
Neil Green: Just one, please. It's a bit of a follow-up from Jonathan's earlier on FX. If you go back to the Capital Markets Day, I think you used a euro-dollar FX assumption of 1.14 in the medium-term guidance. So just wondering if there's any change to that assumption, please, and whether the reiteration of the medium-term targets today could potentially be seen as an upgrade given what we've seen in the movement in the FX rate over the last 12 months or so, please?
Fabrice Mouchel: Coming back to effectively the FX, the FX evolution as of now had a negative impact on 2028 AREPS in as far as -- as mentioned, today, the spot rate is more in the [ 118, 119 ] whereas what we had assumed during the Investor Day was more closer to [ 114 ]. So basically, what we've been doing is securing a level of FX above which we won't go, and therefore, we have limited our risk on the downside. We can still benefit from the upside. But all in all, the level at which we have hedged ourselves is above the 1.14 in terms of FX, meaning that there will be a negative impact on the FX compared to the 2028 guidance that was given. By the way, there would be another mechanical effect, a negative effect, which is the one that I've already mentioned for 2026, which is the lower level of indexation. And just to give you an insight, so we were at 1.4% indexation contribution for 2025, and we expect to be closer to 1% in 2026. So these are the 2 elements that might impact 2028. But all in all, we expect the trajectory that we have presented in terms of recurring results to be still aligned with the Platform for Growth targets. And in particular, this is consistent with the priorities that Vincent has reminded in terms of leasing, leasing, leasing because in the end, this growth will be coming from the leasing activity, the like-for-like growth that we will be able to generate out of our assets.
Operator: And the last question is from Rahul Kaushal, Green Street.
Rahul Kaushal: My first question is on the investment market. How much appetite do you see across various investment markets? And more specifically, what -- I guess, were the differences you see across various markets? And maybe if you can specifically touch on Germany there. And what is the spread in terms of cap rates between your ask and what you're seeing from interest from investors?
Vincent Rouget: Thanks, Rahul. To answer your question on the spread, I mean, we are transacting. So we are transacting at values we are comfortable transacting to in line with our valuation. So in the end, we don't see so much of a spread. As we often mentioned in the past, some noncore assets we are disposing are core assets for other acquirers given the very high quality of our portfolio. And this is one of the reasons why despite, I would say, an overall difficult investment market, we managed to progress on disposals at pace and at scale because we've been one of the most active player in the market on the disposal market over the last year-end change. So I would say in terms of investor velocity, obviously, the Spanish market is showing quite substantial liquidity and the diversity of investors and buyers. So this is one of the strong markets, investment markets in Europe. We see some transactions in the U.K. market as well where you see some liquidity. We've transacted in Germany. So it's quite widespread overall. And interestingly, Fabrice mentioned it as well as part of his presentation, we are seeing some real mark of interest on the premium end of the mall sector in the U.S. The financing markets are wide open over there for senior credit, which is pricing at tight spreads. There's a lot of appetite and demand from debt investors from that perspective. It feeds into the retail market and the quality mall market as well or for some large-scale mixed-use type of properties with a very substantial quality retail component, which have been trading, let's say, in the 5% to 6% cap rate area over 2025. So we see encouraging signs of a strong return of investment market in the U.S. as well. Okay. I believe we do not have any more questions. Thank you. Thank you, everyone, for joining us for this presentation and the Q&A session, and we're looking forward to speaking with you very soon.
Fabrice Mouchel: Thank you. Bye-bye.
Vincent Rouget: Bye-bye.